Operator: Greetings. Welcome to the iCAD Incorporated Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now like to turn the conference over to host [ph] Rosalyn Christian of Investor Relations. You may begin.
Rosalyn Christian: Thank you, operator. Good afternoon, everyone. Thank you for joining us today for iCAD's third quarter 2024 earnings call. On the call today, we have Dana Brown, our President and Chief Executive Officer; and Eric Lonnqvist, our Chief Financial Officer. Before turning the call over to Dana, I would like to remind everyone that we will be making forward-looking statements on the call today. These forward-looking statements are based on iCAD's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations. For a list of factors that could cause actual results to differ, please see today's press release and our filings with the U.S. Securities and Exchange Commission. iCAD undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call. Also, please note that management will refer to certain non-GAAP financial measures. Management believes that these measures provide meaningful information for investors and reflect the way they view the operating performance of the Company. You can find a reconciliation of our GAAP to non-GAAP measures at the end of the earnings release. With that, I'll turn the call over to Dana.
Dana Brown: Thank you, Rosalyn, and good afternoon, everyone. I'm pleased to announce Q3 was another successful quarter for iCAD with revenue growth of 4% compared to the third quarter of 2023. In the quarter, we saw continued progress with our transformation strategy, including the transition to cloud or software-as-a-service through the growth of our ProFound Cloud platform as well as global expansion of our products and technology. Before we dive into the highlights of this quarter, I'd like to provide some detail on how iCAD is positioned for sustained growth by multiple industry drivers. iCAD is uniquely positioned in the rapidly expanding AI powered breast cancer detection market where our solutions are backed by more than 50 clinical studies and presentations and key global clearances including from the FDA. Our technology can reduce radiologists reading time by 52% and we empower providers to detect cancer earlier and with greater confidence. While we have a market leading position, AI adoption in mammography remains low with approximately only 37% of U.S. sites currently using AI. This presents a substantial opportunity for expansion, particularly as our global presence spans more than 50 countries and is growing. In case you missed it, yesterday we announced FDA clearance for iCAD's ProFound Detection Version 4.0. This new Version marks another significant milestone in our track record of industry-leading high performance AI solutions for breast cancer detection. This latest Version offers a 22% improvement in detecting challenging and aggressive cancers over our previous Version, Version 3.0, empowering radiologists to quickly and accurately identify hard to find cancers with greater precision. Version 4.0 now also integrates prior exam analysis in the AI calculation, emulating a radiologist's own comparative approach which enhances diagnostic confidence and accuracy. With an 18% reduction in false positives, it also improves reading efficiency, diagnostic accuracy and patient experience by minimizing unnecessary follow ups. This clearance not only strengthens our competitive edge but also supports revenue growth as both new and existing customers upgrade to version 4.0. This new version, combined with the recent launch of ProFound Cloud marks our shift to a software-as-a-service model, enabling scalable seamless updates and creating a high margin reoccurring revenue stream. With our pioneering technology, strong market foothold, and strategic shift to SaaS, iCAD is well positioned to capture substantial growth opportunities in the years ahead. Turning to our Q3 deal highlights, in the third quarter we closed a total of 85 deals, 52 perpetual, 20 subscription, and 13 cloud. Some of these deals included the University of California San Diego or UCSD. This was a large strategic three-year cloud deal for us. UCSD licensed 2D and 3D detection plus density and UCSD performs around 90,000 exams per year. Last quarter we announced our partnership with US Radiology Specialists and specifically that Windsong Radiology, one of their premier imaging providers, would be the first to champion implementation of our ProFound AI breast health suite. You may recall US Radiology is one of the country's premier providers of diagnostic imaging services with more than 175 outpatient imaging centers across 13 states. This quarter we secured Charlotte Radiology, another imaging provider for US Radiology. It's a three-year cloud deal. Other new deals won this quarter include Alexandra Marine & General Hospital, Madison Regional in Wisconsin, Alleghany Memorial in North Carolina and Parkview Medical in Texas. Turning to some examples of existing customer migrations, Orlando Health signed a deal to migrate from their on-prem solution with no support or service agreement to a three-year subscription agreement. El Rio Health signed a migration deal to move to cloud as well as upgrade to the latest 3D solution. Cleveland Clinic signed a support agreement for their on-prem solution to bridge them to a 2025 cloud migration. And Citizens Memorial upgraded and expanded their on-prem solution to add in 3D. And Simon Med added five additional locations for ProFound to their existing footprint of over 300 locations. In this quarter, we also expanded iCAD's growing global reach. We forged new commercial distribution alliances in countries such as Dominican Republic, France, Spain, Turkey, United Arab Emirates and with leading healthcare technology companies including, Tamur [ph], Ozil and Deepsea, expanding the availability of our ProFound AI solutions globally. We received regulatory clearance in South Africa and secured our first deal in collaboration with our AI platform partner, Blackford, a subsidiary of Bayer. Blackford is an experienced partner in the radiology AI space with over a decade of experience working in partnership with leading hospitals and groundbreaking healthcare technology providers. Blackford provides a core AI platform where iCAD solutions including ProFound AI Detection, density and risk are delivered as a single source technology platform to improve patient outcomes. Our first joint customer is SCP Radiology in Cape Town, South Africa, who implemented 2D detection and density on the Blackford AI platform. SCP Radiology processes 22,000 exams per year. Lastly, expansion opportunities are well underway in Chile, Argentina, Mexico and Japan. We expect to be active in these countries in the next 12 months. Turning now for a quick review of our marketing efforts and third quarter conference and publication activity, in August, our U.S. team participated in the 28th Annual Mammography Conference in Santa Fe, New Mexico. This is a smaller, highly targeted show whose audience is primarily radiologists and imaging professionals. We were selected to participate in the show's AI workshop, where radiologists were able to compare their reading of up to five cases against selected AI detection technology. We also attended the Annual Meeting of the Association of Medical Imaging Management. With over 600 attendees, AHRA represents management at all levels of hospital imaging departments, freestanding imaging centers, and group practices. Our commercial team generated numerous leads and met with several of our large key accounts. Also of Note, as of September 10, 2024, the Food and Drug Administration requires that all mammogram reports in the United States include a breast density assessment. The report must state whether the patient's breasts are dense or not dense. The report should also include information about the risk of developing breast cancer and how dense tissue can make it harder to detect breast cancer on a patient's mammogram. The decision was originally published as an update for U.S. mammography regulations in March 2023. Prior to the update, 39 states and the District of Columbia complied with dense breast reporting. Breast density refers to the amount of fibro glandular tissue that relates to fat and is identified either visually or quantitatively on mammography. Based on the Breast Imaging Reporting Data System or BIRAD, there are four categories of density. Mammograms are considered the gold standard in breast cancer detection and the only form of imaging modality proven to reduce breast cancer mortality. However, the effectiveness of mammograms can be compromised by breast density. More than half of U.S. women over 40 years of age are classified as having dense breast tissue, typically making cancers more difficult to detect on a mammogram. It is important for patients to learn about their breast density because density often results in an increase in false positive findings and a reduction in cancer detection. iCAT's ProFound Density Solution uses AI to analyze the mammography images to determine the BIRAD density classification. Our solution is unique in that it is one, an image based, two-part AI algorithm and two, more closely aligned to the current radiologist's approach to assessing density versus other automated solutions. The FDA mandate for mammography facilities to disclose breast density information is a crucial step towards improving breast cancer detection and prevention. While the requirement provides patients with valuable knowledge about their breast health, it's also essential to address the ongoing challenges related to insurance coverage and access to additional screening modalities. Policies like the Find It Early Act ensured that all women, regardless of their financial circumstances, have equitable access to the necessary tools for early breast cancer diagnosis and improved outcomes.
RENAISSANCE trial: In summary, this trial is using iCAD's profound density solution to evaluate the change in breast density over time for premenopausal women to determine a personalized approach for breast cancer prevention options by utilizing the lowest effective dose of tamoxifen. In addition, iCAD's profound risk will be used to evaluate change in the estimates of the likelihood of developing breast cancer from baseline to 18 months and compare changes by dose group. Selection for participation in this study not only validates our technology, but it also expands our reach with partners and potential customers. You may recall from prior calls that our ProFound Risk has been classified as a de novo device, first of its kind by the FDA and we are working through this submission process with the FDA. In parallel, we received approval for the launch of our own Profound Risk observational trial titled User Acceptance of a short-term Image Derived Risk Tool in Screening Mammography. This study is now IRB approved and site identification is underway. iCAD's profound risk will be available for prospective evaluation on those women who consent to this study. Outcome data and survey data will be utilized to assist in operationalizing risk in screening programs. Late first quarter we announced commercial availability of ProFound Cloud powered by Google's cloud architecture and health AI initiatives. Our innovative software-as-a-service or SaaS platform provides medical providers with a cost effective, secure and scalable means to access and deploy the latest ProFound Breast Health suite of AI solutions. ProFound Cloud continued the momentum that we reported last quarter and we've continued to secure more deals than anticipated for our newly released cloud platform. In its first two full quarters of U.S. availability, ProFound Cloud has processed over 100,000 cases showing rapid early adoption, achieving processing speeds more than 50% faster than many traditional on-premises solutions. The ProFound Cloud is an efficient solution for deploying the ProFound AI suite. With recent global distribution partnerships and regulatory clearances, the availability of ProFound Cloud is expanding around the globe. The healthcare landscape is shifting towards technology as a service models, avoiding the pitfalls of investing in rapidly outdated hardware and software. As AI relies heavily on specialized hardware like graphical processing units or GPUs, setting up and upgrading both software and hardware becomes increasingly complex. Cloud based solutions like ProFound Cloud address this challenge by providing software-as-a-service to ensure that all customers have access to the latest technology without the initial hardware investment, support contracts and constant updates. Moreover, ProFound Cloud provides facility administrators with the ability to update configurations and perform administrative tasks in multiple languages. ProFound Cloud is designed to support patients, providers and partners while facilitating the management of diverse data types critical for comprehensive healthcare analysis. This includes 2D and 3D mammography images alongside all cancer images and in parallel it stores limited images of benign recall and normal cases. ProFound Cloud also manages profound detection and density assessment results, radiology and pathology reports, while ensuring seamless access to critical diagnostic information. Importantly, ProFound Cloud securely handles de-identified patient information and provider data, adhering to strict privacy and compliance standards. The comprehensive approach enables robust analytics for informed decision making. We are at the front end of this business evolution with significant transformation expected over the next three years. In the short-term, as we promote and support more and more customers choosing our cloud platform, we will intentionally sacrifice immediate recognition of some GAAP revenue and cash flow, as we will recognize revenue and receive cash on a monthly basis rather than upfront. It would not be unusual to see top line revenue flatten out as we go through this transition. That is why as a metric of success, we provide our annual reoccurring revenue metrics and deal counts. Also, as we go through this transformation, we will deploy some capital from our strong cash position to support this strategy and over time we believe this strategy should drive strong economic returns as we become a more profitable company. Furthermore, as the reoccurring revenue builds, we will be entering each quarter with more and more visibility and predictability. As an example of the reoccurring build the 13 cloud deals closed in Q3 add more than $850,000 to our backlog for both billings and GAAP revenue. To illustrate the short-term impact on top line revenue and cash, let's look at a hypothetical example. Assume a perpetual deal is worth $36, with perpetual we recognize revenue and bill all $36 upfront. Compare that to a $36 three-year cloud deal. With cloud we recognize revenue and collect cash over the term of the agreement. Each quarter, we would recognize $3 as revenue. Billing would be annually in advance at $12. To compare the impact on revenue in the quarter, we would recognize $36 for a perpetual deal versus $3 for cloud. This illustrates the short-term impact on revenue. As we stated, we will be intentionally sacrificing immediate recognition of some GAAP revenue and cash flow as we go through the transition. Top line revenue may flatten or even drop in the short-term as we go through this transition and more and more deals choose cloud versus perpetual. This is a normal cycle experienced by companies going through a perpetual to SaaS transition. The long-term benefit of the cloud deal is that it would contribute $33 to backlog for revenue. Moving through this transition, our building backlog will result in revenue and cash flow becoming more stable and predictable. In addition to this benefit, iCAD will have the opportunity to renew the deal at the end of the three years, therefore creating an ongoing revenue stream versus a perpetual one in [indiscernible]. I'll now turn the call over to Eric for a detailed review of our Q3 2024 financials.
Eric Lonnqvist: Good afternoon everyone and thank you, Dana. I'll now summarize our financial Results for the third quarter ended September 30, 2024. As noted in prior earnings calls, the steady shift to a recurring revenue model from a perpetual model has numerous benefits including better business visibility, more efficient expense management, and an improved ability to predict future cash flow. That said, this shift will also create lower GAAP revenue and negative cash flow in the short term as our SaaS revenues grow. To help illustrate our progress in this transition, we began reporting the following annual recurring or ARR metrics in Q3 2023. Total ARR or T-ARR represents the annualized value of subscription license, maintenance contracts and active cloud services at the end of a reporting period. Maintenance Services ARR or M-ARR represents the annualized value of active perpetual license maintenance service contracts at the end of the reporting period. Subscription ARR or S-ARR represents the annualized value of active subscription or term licenses at the end of a reporting period. Cloud ARR or C-ARR represents the annualized value of active cloud services contracts at the end of a reporting period. Total ARR OR T-ARR was $9.3 million as of September 30, 2024, up from $8.4 million in the third quarter of 2023. Maintenance Services, ARR or M-ARR was $6.7 million, down from $7 million at the end of the third quarter of 2023. This decline relates in part to service customers migrating to our subscription or cloud products. Subscription ARR OR S-ARR was $2.2 million, up from $1.4 million at the end of the third quarter of 2023. Cloud ARR or C-ARR was $0.4 million, representing the accumulation of the first two quarters of recurring revenue from our cloud product. In addition to the recurring revenue metrics noted above, we also began disclosing the total number of orders related to the perpetual product, subscription and cloud deals. The intent of this metric is to illustrate the pure volume of sales without the complexity of the multiple GAAP revenue streams. We are pleased to report that in third quarter of 2024 we closed 52 perpetual, 20 subscription and 13 cloud orders. Year-to-date, we have secured 188 perpetual, 65 subscription and 23 cloud orders. Please note that these counts include all new, upsell and migration deals and exclude standard renewals. Revenue for the quarter was $4.2 million, an increase of $0.1 million, or 4% over the third quarter of 2023. The increase is attributable to some of the key deals, Dana noted earlier in the call, helping to continue the momentum of our recently expanded sales team. Third quarter 2024 product revenue was $2.5 million, up 14% over the prior year. Service revenue was $1.7 million, down 9% over the prior year. This decline was largely driven by service customers migrating to our subscription or cloud products. Moving on to gross profit, on a percentage of revenue bases, Gross profit was 86% for the third quarter of 2024, which was in line with the third quarter of 2023. On a pure dollar basis, gross profit for the quarter was $3.6 million, as compared to $3.5 million last year. Total operating expenses for the third quarter of 2024 were $5.6 million, a $0.9 million or 19% year-over-year increase. The largest driver of the increase was investments in R&D and regulatory to support plans for both product and regional expansion. This increase was partially offset by additional streamlining of expenses in G&A. GAAP net loss from continuing operations for the third quarter of 2024 was $1.8 million, or $0.07 per diluted share, compared with a GAAP net loss from continuing operations of $1 million, or $0.04 per diluted share for the third quarter of 2023. Non-GAAP adjusted EBITDA loss for the third quarter of 2024 was $1.5 million, compared with $0.8 million in the third quarter of 2023. Moving to the balance sheet as of September 30, 2024, the company had cash and cash equivalents of $18.8 million compared to cash and cash equivalents of $21.7 million as of December 31, 2023. Net cash used for operating activities for the nine months ended September 30, 2024 was $2.6 million, compared to $3.5 million for the first nine months of 2023. This improvement of 26% year-over-year is due primarily to stronger sales performance in 2024. We believe we have sufficient cash resources to fund our planned current operations with no need to raise additional funding. This concludes the financial highlights of our presentation. I would now like to turn the call back over to the operator to lead the Q&A.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Your first question for today is from Per Ostlund with Craig-Hallam Capital.
Per Ostlund: Thanks. Good afternoon, Dana and Eric. Let's start with deal count this quarter. Obviously I think you've done a good job of communicating the revenue impact of the transition and how we need to be thinking about that. So I think ARR and deal count end up kind of being almost equal in terms of where our focus ought to be. How would you characterize third quarter deal count versus your own expectations? It sounds like Cloud is running maybe a little bit ahead of expectation. Was the overall count kind of where you thought and is there seasonality in there? Because I tend to think Q3 is a little sketchy sometimes with deal flow. Is that a fair characterization?
Dana Brown: Hey Per, this is Dana. I'll jump in first and then turn it over to Eric. But I think just to the last part of your question around seasonality, that definitely impacts us in third quarter. From an OUS perspective, most, if not all of Europe, it feels like they're on holiday throughout July, August, maybe sometimes even a little bit into September. I think from a U.S. perspective, you have a little bit of, we used to call it brain drain. That could happen over the summer months. People get back online and figuring out what the rest of the year strategy is going to look like once we pass kind of the Labor Day. So those two forces in general tend to make Q3 a little depressed compared to the other quarters of the year. But I think if you probably went back, through iCAD's timeline and really kind of any software company's timeline, you would see those effects happening. Eric, do you want to chime in with any other either specifics or commentary you might have?
Eric Lonnqvist: Sure. No, I think that was right on Dana, about the seasonality. We see this every Q3, specifically in OUS, as far as people on vacations and so forth. That said, I think as far as the deal count, the 85 we reported was up quite a bit from last year in Q3. Also, I think that's when we first started reporting deal counts with 67 deals in Q3 of 2023. So the counts were up. I think cloud continues to exceed our internal plans as far as how fast we're going to cloud. So 10 deals last quarter and 13 this quarter, I think both exceed our expectations. So those 13 cloud deals, I think two of the biggest ones were what Dana talked about with UCSD and the Charlotte Radiology expansion. We get very little revenue from those deals right now that are in Q3, even. Even for ARR. Very few of those have gone live because it normally they'll go live in the following quarter. So we'll get a bump in ARR when those go live. So the volume and the ARR we'll get from those deals I think is we were generally happy with on the U.S. side.
Per Ostlund: Okay, that's very helpful. Thank you to both of you for that. Maybe a big picture question as cloud is kind of seeded in the marketplace and subscription is prominent for you guys. I think I've always felt like those offerings would help you access customers you wouldn't have accessed that didn't want to take on a perpetual license and that it would also help you in OUS markets where there isn't the same level of access. I'm curious what your thoughts are, and I suspect that it's very early on this front, but if there are customers out there that may have, let's say, a Hologic system and maybe using Hologic's AI as well, does your ability to offer a subscription or cloud model without that upfront cost, does that help you get into more of those customers that might otherwise not have just entertained you straight away just because they felt like they had something? And in this case now you can kind of go in there with maybe a little bit less upfront cost and get people to kind of utilize you side by side with something else?
Dana Brown: Well, I think in general, again, following the pattern, right, Picking up on the last part of your question, subscription and cloud does improve both affordability and accessibility to customers. And we're actually seeing that across the whole spectrum of customers. Right. So large or small, U.S. versus OUS, it isn't necessarily, I'll say, unique to any particular equipment configuration they may have, like, Hologic versus, our partner GE, but it's definitely improving, right, the quantity of customers that can look at the solution and, you know, figure out how to afford it and take advantage of it so.
Per Ostlund: Okay, that makes sense. It's kind of what I expected, but ask the question. All right, one more for me for now. With the change in density regulations that went into play in September, you've had a density product for a while. Some states were mandating it before, but now that you have it at the, that the broader level, is that changing conversations with customers, potential current and otherwise, in terms of really taking on the full ICAD suite.
Dana Brown: Probably not in terms of like a significant quantity of additional density licenses sold. So, I would say the pattern we have seen in our customer base or, imaging centers looking at AI, they already understand the challenges in reading mammography for women with dense breath. So they were already looking for a solution that would help them find those subtle and very hard to find cancers. So one of our, I would say, most popular bundle packages, is density plus detection. So I think, if anything, it's helped to reinforce and give a confidence to a decision they already made. It probably helps a little bit more in terms of just considering an AI solution to assist a radiologist overall, because now there is this, I would say, kind of nationwide recognition that density is one of the leading risk factors. And it makes reading mammography right or mammograms very difficult. But it's not like this is a breakout market driver for the density solution kind of in and of itself, if that kind of makes sense. So because as you mentioned, I mean, we've had a density solution in the market now over 10 years. There was a nice quantity of states that had begun adopting, I'll say, kind of like this guideline. Right. Or this requirement before the federal right or nationwide mandate went into effect in September speaking right from Coleman. It was something that we advocated for at a state level and at the federal level from an advocacy standpoint. So it's been something that's been making this kind of slow and steady progress kind of all along. If anything, it just helps reinforce and makes this decision to go ahead and buy the bundle even an easier decision, more straightforward decision.
Per Ostlund: Sure, that makes total sense. Thanks, I appreciate the answers.
Dana Brown: Oh yes.
Operator: [Operator Instructions] Your next question for today is from Yale Jen with Laidlaw & Company.
Yale Jen: Good afternoon and thanks for taking the questions. My first question is that first, congrats for the FDA approval of the Version 4. So the question is that how soon you anticipate this version will be incorporated or being sold in your product of different models, subscription, perpetual or cloud, at this point.
Dana Brown: Yes. So first, thanks. Congrats on Version 4.0. As you can probably imagine, it made for a very Happy Friday and weekend for our team. And so we right now are going through a list of our key customers to understand their preferred deployment model. To your point, right? Is it cloud, is it perpetual? And then we'll make the decision of which implementation platform will come out first with 4.0. But we're only talking a matter of weeks, right? So the first shipment, if you will, a 4.0 will probably happen in mid-December, so right after RSA and then we'll follow up with the next implementation platform just a few weeks later. So it'll be a fast process for us.
Yale Jen: And so going forward for new customs, regardless which model they are in, I mean business model they are in, are they going to immediately get the Version 4 to start with, whereas the existing customer may have time for transition instead?
Dana Brown: Yes, I would expect that most new customers would choose Version 4. There will be a period of time. I'm trying to think of a good reason why they would want Version 3. I really can't think of anything but yes, they would receive Version 4 out.
Yale Jen: Okay, one more question here. Is that just from the reporting perspective, with the increasing of subscription as well as the cloud model, the product revenue line. Would that going down more quickly or that's not necessarily the case, the product versus the service line on the in the P&L?
Eric Lonnqvist: Hi Yale, it's Eric. You're talking quarter-over-quarter?
Yale Jen: Yes.
Eric Lonnqvist: Yes. So in that product line is perpetual. Subscription and cloud are all in that line. The way it's reported right now, the main drop quarter-over-quarter is perpetual deals.
Yale Jen: Right. So the crowd as well as the subscription model revenue or portion of will be allocated to or assigned to the product line. Is that correct?
Eric Lonnqvist: Correct. Correct, yes.
Yale Jen: Okay, maybe the last question here is that just look at the, over this period of time, we still see a lot of perpetual deals. Has that something to do with the GE part of the -- in your business or that's a very different piece where those deal come from and thanks.
Dana Brown: Eric. Do you want to take that one as well or do I?
Eric Lonnqvist: I can. Yes, GE is 100% perpetual for us for new deals. We do have some service contracts through GE customers which are ratable and they're in that service line. But all new deals continue to be perpetual through GE. So that's a big portion of the perpetual revenue that flows into our P&L right now? That's correct.
Yale Jen: Okay, great. Thanks a lot. Congrats on the migration at this point and best of luck for the quarters going forward.
Eric Lonnqvist: Thank you, Yale.
Operator: We have reached the end of the question-and-answer session and I will now turn the call over to Dana for closing remarks.
Dana Brown: Thank you, operator. In conclusion, I want to just reiterate, as we've demonstrated on the call today, our demand for our technology is continuing to be strong. Also, as we discussed our clinical trials that we're involved in in other publications, the evidence supporting it continues to grow and as we noted, several marquee deals. Our team continues to secure opportunities with some of the most prestigious and esteemed healthcare facilities worldwide. On behalf of the management team, I think I'm confident in saying that we remain optimistic about the company and its future and we firmly believe in our ability to generate significant shareholder value. Thank you all for your time today and have a great rest of the evening.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.